Ivan Menezes: Good morning, everyone. I'm pleased to announce our financial results for the first half of fiscal '21. We have returned to top line growth, driven by strong sequential improvement across our regions compared to the second half of fiscal '20. This is ahead of our expectations at the start of the fiscal year. Our people and our business have shown incredible resilience and agility in this challenging operating environment created by COVID-19. Using insights and data, we've quickly pivoted to changes in consumer occasions and behaviors, and we've responded at pace to increase demand in the off-trade channel. Excellent commercial execution, effective marketing and accelerated innovation have driven strong performance and market share gains. The on-trade e channel continues to be very disrupted with bars and restaurants around the world being impacted by government restrictions. We are well positioned for the reopening of these outlets, but we expect the recovery of this channel to be volatile. Travel Retail continues to be severely impacted by lower passenger numbers. Despite the current challenges, I am cautiously optimistic about the outlook for our business. The fundamental growth drivers for Diageo remain intact, and the actions we've taken and will continue to take will ensure we emerge stronger. I am proud of the support we've given to our customers and communities in response to COVID-19. Last June, we launched Raising the Bar, our $100 million commitment to support the recovery of the hospitality sector around the world. The fund has already benefited over 30,000 outlets in 7 countries with ongoing rollout into additional outlets and countries over the course of the 2-year program. This support includes hygiene and sanitation kits, furniture for outdoor spaces and solutions for table reservations and contactless ordering. Over 70% of the procurement spend funded by Raising the Bar has been locally sourced in the countries where the funding was received. Across our brands from Crown Royal to Guinness, we've continued to raise awareness and provide support for bartenders. And most recently, Guinness launched a #KeepTheLights On campaign in Ireland, which invited consumers to embrace their local pubs and pay a visit when they reopen. Through our platforms such as Diageo Bar Academy, we're providing training and guidance on safe reopenings, including online menus and takeaway cocktails. We will continue to support the on-trade through the recovery whenever and however outlets reopen. It is fundamental to our performance ambition that we do business in the right way, and it is embedded in our strategy. I'm immensely proud of Diageo's sustainability and responsibility achievements to date and aware that we have more to do. We are building on our track record with the launch of Society 2030: Spirit of Progress. This is our 10-year sustainability action plan with 25 bold and ambitious goals to help create a more inclusive and sustainable world. It will challenge us even further to make a positive impact over the critical decade to 2030. I will talk about this in more detail shortly. Our business delivered a strong performance in the first half of fiscal '21. The group returned to top line organic growth, driven by sequential improvement across all regions compared to the second half of fiscal '20. North America, our largest and most profitable market, grew 12% compared to the first half of fiscal '20. This strong growth was underpinned by a favorable market structure, which is weighted to the off-trade, as well as the continued long-term trend of spirits taking share from beer and wine. Consumer demand in the off-trade has remained extremely resilient even as the on-trade has partially reopened. In Europe and Turkey, the off-trade channel, especially in Great Britain and Northern Europe has been robust. However, the on-trade channel has been severely disrupted, particularly in Ireland and Southern Europe. In Africa, all of our markets delivered an improved performance from the second half of fiscal '20. The pace of recovery varied with South Africa and Kenya being the most impacted by government restrictions. Our business in Latin America and the Caribbean delivered good sequential improvement, although the challenging economic environment drove down-trading to lower price products. The improved performance in Asia Pacific during this half reflects a strong recovery in Greater China and resilient consumer demand in Australia. In India, our business achieved net sales slightly ahead of the first half of fiscal '20. Travel Retail remained severely impacted across regions. Overall, I am very encouraged by the trends that we've seen during the first half of fiscal '21. Although the pace of recovery remains uncertain, our business has pivoted to where the consumer demand has been resilient and we are benefiting from our broad geographic footprint. Across markets, our focus is on winning quality market share. While we have more to do, I'm pleased with what we have already achieved. In the first half of fiscal '21, we held or grew our off-trade share for over 70% of net sales in measured markets. This strong performance is a significant improvement from fiscal '20 when we held or grew off-trade market share for around 55% of net sales in measured markets. I am very encouraged by the strong results we've delivered this half. Today, we have announced our interim dividend for fiscal '21, which is an increase of 2% on the interim dividend for fiscal '20. We are confident that Diageo will continue to navigate strongly through a challenging operating environment and that the long-term growth drivers for our business remain intact. Our robust financial performance during COVID-19 and agile responses to the challenges and opportunities reflect the fundamental strength of our business. Our diverse geographic footprint and well-balanced position across developed and emerging markets creates resilience. We have a strong position in markets where there's been good consumer demand, particularly in the U.S., Great Britain and Greater China. We are benefiting from the breadth of our global portfolio across categories and price tiers. We're strongly positioned for the premiumization trends that have continued in many markets. However, we also have lower-priced alternatives that consumers have sought in some emerging markets. We've used our insights and tools to rapidly understand shifts in consumer needs, behaviors and occasions. We've up-weighted investment in marketing, innovation and acquisitions in a targeted and effective way. Our embedded culture of everyday efficiency has enabled us to tightly control discretionary expenditure and drive continued productivity. In a dynamic environment, we have a clear focus. We are using our insights and tools to: build a deeper understanding of consumer behavior, invest effectively in marketing using our data-led and targeted approach and adapt and prioritize our innovation pipeline. We are building capabilities to capture new opportunities, including e-commerce, and we're strengthening our portfolio through strategic brand acquisitions. We are investing to add capacity, support brand equity and deliver our sustainability agenda. The long-term trends for the spirits industry remain intact and create a natural runway for growth. Spirits has been consistently taking share from beer and wine globally. Despite this, spirits penetration remains low compared to other alcoholic categories, especially in emerging markets. Diageo has only 2% share of the global total beverage alcohol market volume and 5% of the global TBA market value. This creates an excellent growth opportunity for our business. Looking specifically at the U.S. spirits market. The graph on the right of the slide shows the resilience of the market during COVID-19. This partly reflects the favorable market structure. Even prior to COVID-19, around 4 out of every 5 drinks were being purchased in the off-trade channel. Following a dip in the initial months of COVID-19, the U.S. spirits market has grown strongly in the first half of fiscal '21. We take an active and disciplined approach to portfolio management. Since 2015, we have strengthened our portfolio through a focus on premium-plus brands in fast-growing categories including U.S. whiskey, Canadian whisky, tequila and gin. We've done this partly through strong organic growth of brands such as Crown Royal and Gordon's, driven by effective marketing and insights-driven innovation. For tequila, we developed our portfolio through the successful acquisitions of Don Julio and Casamigos. The subsequent growth of those brands has been exceptional. Tequila now accounts for 7% of Diageo's net sales, up from 1% 5 years ago. In fiscal '21, we acquired Aviation American Gin and we've agreed, subject to regulatory clearance, to acquire Chase Distillery. These are fast-growing premium-plus brands with exciting growth potential. We have built a well-balanced footprint between developed and emerging markets, which provides resilience, as well as exposure to long-term growth opportunities. We continue to benefit from our market-leading position in the growing North American market. We expect future growth to be underpinned by favorable demographics, strong premiumization and spirits consistently taking share from beer and wine. Our business in Greater China has increased from 2% to 5% of Diageo's net sales over the last 5 years, and we expect our increasing exposure to this fast-growing market to be a key driver of our long-term growth. While COVID-19 is having a significant impact on many of our emerging market businesses, the long-term fundamentals remain intact and we are well positioned for when these economies recover. Premiumization is a long-term global trend, and we're consistently premiumizing our portfolio. Over 50% of our net sales are now generated from premium-plus products, an increase of 8 percentage points since fiscal '15. Our Reserve portfolio grew 15% in the first half of fiscal '21. Alongside our spirits portfolio, we have a premium beer business with Guinness at its core. While our beer business has been disproportionately impacted by the on-trade channel restrictions during COVID-19, we expect a strong recovery as these restrictions ease. I expect spirits to continue to premiumize. Looking specifically at the U.S. spirits market on the right-hand side of the slide, you can see that the price/mix did dip in the initial months of COVID-19. This was due to the on-trade closures and some pantry-loading of larger bottle sizes in the early weeks of lockdown. Price/mix has since accelerated in fiscal '21 to above pre-COVID levels. In Latin America, we've seen consumers switching to lower price points during COVID-19. However, we expect premiumization trends to return as these economies recover. I am confident that our actions through COVID-19 will ensure Diageo emerges stronger. We have rapidly responded to shifts in channels and occasions to gain quality market share. We are leveraging our deep understanding of consumer behavior to invest effectively in marketing and innovation. We are investing with confidence in fast-growing markets like the U.S. and China and strengthening our portfolio in key categories. And we are driving continued productivity gains from our embedded culture of everyday efficiency. I will talk in more detail on these areas shortly. However, first, I will hand over to Kathy to go through the details of our financial results for the half.
Kathryn Mikells: Thank you, Ivan, and good morning, everyone. As Ivan mentioned, our financial results for the first half of the fiscal are ahead of expectations with strong sequential improvement in performance across all regions. Diageo has shown incredible resilience adapting quickly to this new and changing environment, leveraging the enhanced data and tools we've developed over the past few years. I'll recap on some of the highlights from the first half that Ivan has just taken you through. In the first half of fiscal '21, we delivered organic net sales growth of 1%, reflecting the underlying strength of our business and the fast recovery we have seen, especially in North America and Greater China. Our organic volume growth was down 0.2%, and we delivered 1.2% positive price/mix. Organic operating margin decreased 153 basis points. Cash performance was strong in the half and continues to demonstrate how we have embedded rock-solid day-to-day cash management. We delivered GBP 1.75 billion of free cash flow in the half, which was GBP 787 million higher than last year, driven mainly by working capital benefits. Pre-exceptional earnings per share declined 12.8%, reflecting the lower operating profit with basic EPS down to 67.6p, mainly reflecting the additional impact of unfavorable exchange rates. The interim dividend increase of 2% over the fiscal '20 interim dividend reflects our strong liquidity position and confidence in the long-term health of our business, which enables us to fully invest behind sustainable quality growth initiatives while consistently delivering returns to shareholders. Return on invested capital is at 15.8%, down 175 basis points as a result of unfavorable exchange and the decline in organic operating profit. Total shareholder return was up 9%, driven by an increase in share price over the last 6 months and also supported by our fiscal '20 final dividend. As you can see, after 3 years of consistent delivery of mid-single-digit top line growth and strong margin accretion, our business was significantly impacted by COVID-19 in the second half of fiscal '20. In this first half of fiscal '21, the group returned to top line growth with organic net sales growing at 1%. Organic operating profit was down 3.4%, driven by gross margin dilution from adverse channel and product mix, especially in our Guinness beer business, as well as the significant decline in the high-margin Travel Retail business. Quickly shifting investment from on-trade to off-trade and e-commerce was key to our recovery over the first half. Armed with better data and information, we were able to identify the consumer shopping and occasion opportunities that had momentum, and we quickly moved resources and adjusted our marketing spend and our programs to ensure that our brands intersected these opportunities. The sequential improvement from fiscal '20 second half to the first half of fiscal '21 was broad based, and overall, you can see it was well balanced at both the top and the bottom line. Organic net sales grew 1% in the half, driven by North America, offsetting declines in other regions except for Africa, which was roughly flat. Positive price/mix was 1.2% with year-on-year improvement in North America and Africa. Organic volume was down 0.2%. Volume gains in North America and Latin America and Caribbean were more than offset by volume declines in other regions. The performance in the U.S. was driven by market growth, improved share, positive category mix and the replenishment of stock levels by distributors and retailers. The scaled-back trade activity in the last quarter of fiscal '20 resulted in a decrease in absolute levels of stock-in-trade in many of our markets at the close of the year. As consumer confidence and demand recovered in the first half of this fiscal, distributors and end outlets sought to replenish their stocks. In the U.S., where this impact was the greatest, our shipments to distributors were about 3 percentage points ahead of depletions. The heightened impact of COVID-19 on our on-trade keg beer business and the duty-free Travel Retail channel had a significant impact on our revenue. The impact of the depressed Travel Retail channel was most pronounced in Asia and Europe, and the impact on the keg beer business was most pronounced in Europe and Africa. As you can see on the chart, excluding the kegs of our large strategic on-trade beer brands and the Travel Retail business, our organic net sales growth would have been 6.2%, with 3.3% positive price/mix. As Ivan has already taken you through, we delivered strong sequential improvement across all regions in the first half of the fiscal. COVID-19 had a significant impact on our second half of fiscal '20. That impact was more subdued in the first half of this fiscal as the on-trade began to reopen and our investments behind areas of momentum took hold. We really see this coming through in our North America results where we returned to top line growth, supported by strong off-trade demand and improved share performance. When our markets have a larger on-trade keg beer or duty-free Travel Retail business, the impact of COVID-19 has been more significant. Europe and Turkey net sales declined 10% as continued momentum in the off-trade wasn't able to offset declines in the markets that are highly exposed to the on-trade channel and duty-free Travel Retail. Reduced levels of international travel continued to severely impact Travel Retail in Europe, which declined 72%. Beer net sales in Europe and Turkey declined 34%, driven primarily by the Guinness on-trade keg business, which was impacted by on-trade restrictions and closures, particularly in Ireland and Great Britain. Our Latin American and Caribbean region was also impacted by COVID-19, in particular, the Travel Retail channel and Caribbean and Central American market, which both suffered from depressed international travel. The region was in low single-digit growth, excluding the impact of Travel Retail. Asia Pacific net sales decreased 3%, but was in growth, excluding the impact from Travel Retail. Our teams are working hard to ensure that we emerge stronger from the crisis and are well placed to win in both the on-trade and Travel Retail channels as they recover. Later in this presentation, Ivan will take you through the various ways in which we're pivoting our business and our resources to take advantage of the opportunities in the off-trade and e-commerce channels, while continuing to support the on-trade as and when it reopens. Our key categories are also showing strong sequential improvement. In the first half, scotch was down 8%, reflecting the greater exposure of the category to on-trade and Travel Retail channels. The impact was particularly significant in emerging markets, which, together with Travel Retail, contributed to over 2/3 of our scotch sales pre COVID-19. Excluding the impact of Travel Retail alone, scotch sales were flat in the first half. The growth rate in tequila was particularly strong at 61% and ahead of pre-COVID-19 first half fiscal '20 growth. Vodka performance also beat the pre-COVID-19 period, broadly flat in half. Gin grew strongly at 6%, just a bit behind our first half fiscal '20 growth. The sequential improvement of vodka was driven by growth in North America, where Cîroc grew 16%, driven mainly by U.S. spirits on the back of refreshed activations to engage with Cîroc's consumer base. Growth was both in the core variant as well as key flavor variants. Tequila is one of the fastest-growing categories in the U.S. And as Ivan mentioned, our acquisitions in the tequila category have been a key enabler for growth. We continue to invest behind Don Julio and Casamigos in the U.S. with activations targeting the in-home occasion that have enabled us to gain significant category share. Beer is down 11% due to the high exposure in the on-trade. Excluding the kegs of our large strategic on-trade beer brands, beer was up 1%. In Africa, where we had focused on premiumizing our beer participation, Guinness was up 9%, supported by the rollout of Guinness Smooth. In Latin American and Caribbean, where we have recently expanded our distribution footprint, Guinness was up 11%. Guinness is a key brand for us within our portfolio and we look forward to the recovery of the on-trade across Europe, where before the pandemic, Guinness was growing well as consumers were gravitating toward more flavorful beer, including the perfect pints served at the GUINNESS STOREHOUSE in Ireland and in the U.S. at the Guinness Brewery & Barrel House in Baltimore. Excluding on-trade kegs and visitor center business, Guinness would have been up 7%. Net sales of local stars grew 1%, driven by growth in Chinese white spirits, Crown Royal in North America and Black & White in Colombia and Mexico. These gains were partially offset by declines in Old Parr in the Caribbean and Central America market, as well as in Colombia; Windsor in South Korea; J&B in Southern Europe; and McDowell's No. 1 in India. In Reserve, net sales were up 15%, reflecting a resilient performance from our most premium brands. This included the strong growth of Casamigos and Don Julio. Casamigos grew well over 100% and Don Julio was up about 40%, driven by U.S. spirits. SJF, our Chinese white spirits business, was up 18%. These strong gains were offset by declines in scotch malts in U.S. spirits and Johnnie Walker Reserve variants mainly in Travel Retail. Excluding Travel Retail, Johnnie Walker Reserve variants were up 17%. In the first half, global giants declined by 7%, caused primarily by COVID-19-related lockdowns and restrictions. Within global giants, Johnnie Walker was down 12%, mainly due to the impact of COVID-19 on our Travel Retail business and domestic markets more dependent on international tourism such as our Caribbean and Central American market. Guinness declined due to the impact on the keg business from restrictions to the on-trade channel, particularly in Great Britain and Ireland. As the COVID-19 pandemic developed, we moved with pace to engage consumers in new ways to enjoy Guinness in the at-home occasion. And this agility has driven growth in the Guinness off-trade market share in GB, the U.S. and in Ireland. Globally, net sales of Guinness Draught in cans was up 24%. Smirnoff was down 3% and Tanqueray up 1%. Both spirits brands grew in U.S. Spirits, but were in decline in our Europe and Turkey region, mainly driven by Southern Europe and Travel Retail. These declines were partially offset by growth in Baileys and Captain Morgan with both brands growing strongly in North America and Europe and Turkey. As Ivan has mentioned, premiumization is one of the key pillars supporting both our recovery and sustainable long-term growth. The first half of fiscal '21 delivered momentum in our super premium-plus brands, with 14% growth ahead of pre-COVID-19 trends. Our U.S. spirits business continues to build momentum with continued premiumization and strong price/mix improvements supported by our tequila brands as well as Cîroc, which was up double digits in the half. Our acquisitions clearly target this premiumization opportunity. The acquisition of Aviation American Gin in the U.S. and Chase Distillery in GB, which is subject to regulatory approval, will be our newest additions to the premium-plus price tier. Both play a complementary role alongside our other gin brands. We also previously increased our ownership position in SJF in fiscal '19, which is benefiting from the premiumization of the baijiu category. As already mentioned, the impact of COVID-19 was significant for some of our premium brands, including Guinness and Johnnie Walker. As the on-trade further reopens and international travel begins to recover, we are confident that these brands will bounce back. At the other end of the spectrum in emerging markets, where per capita income is lower, we have seen some short-term down-trading as poor economic conditions squeeze the consumers' discretionary income. This has fueled the recovery in our value brands. In Latin American and Caribbean, net sales of value brands are up 14%, primarily due to the Smirnoff X1 Spicy Tamarind innovation, which continued to perform strongly. Our standard brands have recovered to pre-COVID growth rates, driven by growth in our primary scotch brands as consumers in some region shave sought more affordable alternatives. For example, White Horse and Black & White grew strongly in Latin American and Caribbean in the half, up 113% and 40%, respectively. With our portfolio approach, we feel well positioned to catch consumers as and when they trade down to lower price points as well as taking advantage of the global premiumization trend and improved growth in higher-priced tiers. Reported operating profit declined 8.3%, driven mainly by unfavorable exchange impact and the decline in organic operating profit. Organic operating profit decreased 3.4%, driven by unfavorable channel and product mix with productivity benefits from everyday cost efficiencies largely offsetting commodities inflation. Reported operating margin, excluding exceptional items, declined 192 basis points, mainly driven by the decline in organic operating margin and unfavorable exchange. Organic operating margin contracted 153 basis points, driven by pressure on gross margin and one-off costs only partially offset by overhead efficiencies. Gross margin dilution of 174 basis points was driven by adverse channel and product mix, especially in our Guinness beer business as well as the significant declines in the high-margin Travel Retail business. Supply productivity broadly offset commodity inflation. Margin compression was especially pronounced in Europe and Turkey and in Africa. In Europe and Turkey, operating margins declined 539 basis points, primarily driven by unfavorable channel mix from the on-trade closures and lower Travel Retail sales, both of which are more profitable channels in that region. In Africa, operating margins declined 434 basis points, driven by unfavorable market mix, a one-off tax charge in Kenya and increased cost inflation due to higher duties on imported materials. Conversely, in North America, our margins expanded 80 basis points, driven by strong operating leverage and lower discretionary expenditure primarily driven by overhead savings. We significantly reduced marketing spend in the fourth quarter of fiscal '20 during the lockdowns. In the first half of fiscal '21, we've returned to prior year investment rate levels, up-weighting investment in the markets and categories with positive growth momentum and quickly responding to channel shifts and the increase in at-home occasions. Other operating items contributed 17 basis points to operating margin expansion, driven by overhead efficiencies, partially offset by one-off costs. As Ivan mentioned, embedding everyday efficiency is one of our strategic priorities. I feel really good about the progress that we've made on productivity and how we have embedded an everyday efficiency mentality across the business. This is one of the flywheels that will enable us to emerge stronger. This half, we have delivered savings and added value back to the business across 4 key focus areas. In manufacturing and production, we are continuously challenging ourselves to automate more of our processes and systems at the back end, enabling us to make faster and better decisions further up the value chain. At our Cameronbridge site, we built a machine learning algorithm that analyzes real-time weather data and allows us to model different scenarios. We're able to use these insights to inform raw material input plans, reducing waste and improving yields. We also automated multiple processes across functions such as inventory procurement and logistics, resulting in faster processing times and significant efficiencies and savings due to the reduction of errors and manual work. Automation has also been deployed in our back-office processes, contributing directly to overhead savings, and through better user experience and faster throughput, enable the organization to focus on our core business. Using intelligent automation and robotics, we introduced new tools for managing purchase orders and international payments, automated several steps of the source-to-pay process, eliminating significant manual work and implemented a global tool to automate overhead reporting. We also continued to centralize and standardize our financial controls, reporting and analysis activities. In our core record-to-report process, we achieved 95% standardization and 96% automation eliminating manual work, reducing time to report and improving quality and controls. Across our media investment, commercial negotiations have realized significant A&P savings in the first half of this fiscal. We have also collaborated with one of our global media partners to develop a bespoke media planning platform. The platform seamlessly and digitally brings together creative and media planning which further increases A&P efficiency and complements our Catalyst marketing effectiveness tool. We continue to invest in building world-class data analytics, such as Catalyst and EDGE, that give us a competitive advantage in the marketplace by digitally enabling our sales and our marketing teams. The role of Catalyst is well documented. As Ivan highlighted at our prelims results in August, Radar is the next evolution of Catalyst that further refines our understanding of profit pools and A&P return on investment. It was implemented over 2 months during the summer of 2020 in 13 countries, which made up roughly 70% of our total A&P investment. Radar has enabled us to plan and invest more effectively by helping us to anticipate how COVID-19 will impact our markets differently over time. This has allowed us to invest smartly with more confidence to build effective country-specific marketing plans for the short term and the longer term to ensure that we emerge stronger. In addition, we're now investing further in our insights tools, initially in North America, to develop more granular hyper-local analytics using localized data, which we aggregate to provide consumer insights that we can then apply at scale. Our efforts on Catalyst and data analytics are being recognized with us gaining 7 2020 awards from the Institute of Practitioners in Advertising. We're also investing in brand-specific direct-to-consumer platforms like Haig Club and Malts.com, and we will continue to invest in this space, allowing us to better connect and gain insights from our consumers while also giving them a direct path to purchase. We delivered GBP 1.75 billion in free cash flow in the half with the strong performance driven primarily by working capital gains and lower cash tax payments. The reduction in net working capital is mainly due to an exceptionally large increase in creditors relative to the end of June 2020 compared to the prior year. Towards the end of fiscal '20, we experienced particularly low creditor balances arising from reduced sales demand and cost control measures. Over the first half of fiscal '21, creditors have risen sharply to more normal levels reflecting improved business performance and accelerated A&P investment. While debtors and inventory also expanded as the business picked up, it was not to the same degree. We have clearly benefited from a laser focus on debtor risk management and collections. Our days sales outstanding in debtors dropped by over 10 days since year-end, and our overdue balances are at their lowest level in years. As I look to the second half, I am mindful that we've closed our first half with a negative net working capital position more similar to what we typically would see at the end of the year. This is in sharp contrast to the normal cycle, where our overall net working capital position increases in the first half and then reverses back in the second half. So looking at seasonality and the sequential improvement we saw in net working capital in this first half of fiscal '21, it's reasonable to expect some net working capital build in the second half as we move back to a more normalized profile. We also saw tax cash benefits this half as we lapped a relatively higher level of tax payments in the first half of fiscal '20. And in October 2020, we received a payment of GBP 82 million from Moët Hennessy in respect of dividends relating to the financial year ended December 2019, which is shown in the other items on this chart. Lower levels of CapEx in the first half of fiscal '21 compared to the prior year also increased free cash flow as some construction projects have been delayed by COVID-19. We are investing consistently in the long-term growth and sustainability of the business. As I look ahead towards the second half of fiscal '21, I expect CapEx to increase as projects restart and the delays are mitigated. As a result, I continue to expect fiscal '21 CapEx to be in line with fiscal '20. Our leverage ratio at 3.4x is better than we anticipated and in line with what we reported at the end of full year fiscal '20, enabled by our strong cash flow performance. The strong cash flow performance in the half also enabled a reduction in closing net debt of about GBP 600 million over the last 6 months and about GBP 200 million reduction compared to the end of the first half of fiscal '20. Net interest charge was broadly flat compared to the second half of fiscal '20 with reduced gains from our foreign exchange swap portfolio and the costs associated with enhancing our liquidity position mostly offset by more efficient borrowing despite higher average debt during the period. Compared to the first half of fiscal '20, net interest charge was up due to higher average debt and a higher effective interest rate. Our effective interest rate at 2.8% increased 40 basis points due to the costs associated with enhancing our liquidity position and reduced gains from our foreign exchange swap portfolio which were partially offset by the impact of more favorable funding costs. Other financing charges were flat compared to the second half of fiscal '20. Compared to the first half, other financing charges were ahead due to adjustments required because of the hyperinflation in the Lebanese economy. I expect other financing charges to be at a similar level for the second half. Our effective interest rate at 2.8% was flat compared to the second half of fiscal '20 and 40 basis points higher than the same time last year due to the changes in net interest charges and other finance charges that I just mentioned. Our effective interest rate was better than our guidance of roughly 3% due to more efficient new borrowings. As I look ahead, I expect our effective interest rate to be marginally higher for the second half, mainly dependent on the movement we see in short-term interest rates and the timing of cash flows. We remain committed to a leverage range of 2.5 to 3x adjusted net debt-to-EBITDA over the medium term, but we continue to anticipate that we'll be above this range throughout this fiscal year. Our disciplined approach to capital allocation remains unchanged. Our strong liquidity and balance sheet gives us confidence to invest in the business to deliver sustainable and efficient organic growth and to generate value through acquisitions that further strengthen our exposure to fast-growing categories and occasions. Over the course of the half year, we've announced 2 acquisitions. We have completed the acquisition of Aviation American Gin; and we announced the agreement to acquire Chase Distillery, subject to regulatory approval. We continue to invest in Distill Ventures, which allows us to partner with drinks industry entrepreneurs. This has led to exciting acquisitions, including Seedlip distilled nonalcoholic spirit and Belsazar vermouth. We look forward to future acquisitions coming from our portfolio of seed investments. Today, we have announced an interim dividend of 27.96p, bringing the interim dividend growth to 2% compared to the fiscal '20 interim dividend. The increase is in line with the fiscal '20 full year dividend increase. This reflects the improved first half year performance and our confidence in the long-term fundamentals of the industry and our business, while recognizing the ongoing economic uncertainty that's created by the pandemic. In April 2020, we announced that we had paused our share buyback program. This will continue to be the case until leverage is back within our target range. We will keep future returns of capital, including dividends under review through fiscal '21 to ensure that we allocate Diageo's capital in the best way to maximize value for the business and stakeholders. We have a track record of increasing shareholder value and have increased our dividend per share every full year since fiscal 2001. Over the last 20 years, our absolute dividend per share has increased 213%. Our decision to increase the interim dividend by 2% continues this trend and reflects our commitment to maximizing shareholder returns. Moving on now to foreign exchange. Unfavorable exchange significantly impacted both net sales and operating profit in the first half, driven by the weakening U.S. dollar and other emerging market currencies, partially offset by the strengthening euro. Given the continued uncertainty, we are not able to provide specific financial guidance for the full year fiscal '21. However, I would highlight that sterling has continued to strengthen against the U.S. dollar and other currencies. If these conditions persist, I would expect an ongoing significant negative impact building through the second half. Earnings per share before exceptional items declined 12.8%. This decline is largely due to the unfavorable foreign exchange impact just discussed as well as the decrease in organic operating profit, and to a smaller extent, higher financing charges and the impact of acquisitions and disposals. This was partially offset by the positive impact of lower tax and noncontrolling interest and the impact from share buybacks. Our tax liability decreased mainly due to the decline in taxable profit. Our tax rate before exceptional items was 22.4%. We expect the tax rate before exceptional items for fiscal '21 to be at the upper end of the 21% to 22% range we guided to back in August. Noncontrolling interest had a positive impact on EPS as a result of the lower profit in our listed subsidiaries. Prior year share repurchases reduced the weighted average number of shares, generating a positive impact on EPS. I'm encouraged by the strong performance that Diageo has delivered over the first half of fiscal '21. Our continued focus on rock-solid day-to-day cash management has enabled us to deliver strong free cash flow performance, stable leverage and to invest ahead for the future. This focus on creating value for our shareholders is reflected in our resilient long-term record of consistent dividend growth. The external environment is volatile and we expect that to continue, driven by the pandemic and related economic impacts. The pace and shape of the recovery will vary from market to market and will depend on many different factors. For example, the successful rollout of the vaccine and other public health measures, the impact of economic policies, the pace at which lockdown measures are eased and how quickly consumers choose to return to bars and restaurants and resume international travel. The actions we have taken over the last few years to make Diageo a stronger, sharper business give us confidence that we can continue to well manage this volatility and to emerge from the pandemic stronger. Our industry is resilient, and the strength of our business has been demonstrated in our results this half. We are not providing specific guidance due to the ongoing volatility. However, we will be lapping the second half of fiscal '20, which was significantly impacted by the onset of COVID-19, and therefore, expect to see a net sales value improvement over this weak comparator period across all regions. We expect continued momentum in North America, augmented by a lapping of inventory reductions by distributors. The pace of recovery in other regions will be more closely aligned with the gradual reopening of the on-trade and the degree to which restrictions continue to be in place. We expect Travel Retail to continue to be heavily impacted by the reduction in travelers. We expect organic operating profit growth in the second half of fiscal '21 will be ahead of organic net sales growth in all regions due to the weak comparable period except North America where we experienced strong organic operating margin gains in the second half of fiscal '20. Organic operating margin in the second half of fiscal '21 will continue to be pressured from channel and product mix as Travel Retail will continue to be heavily impacted and restrictions on the on-trade continue. We expect to continue investing in A&P to emerge stronger from the crisis. Despite the pace of recovery differing significantly across the globe, we are confident in our ability to return the business back to being a high-quality growth compounder longer term. And with that, back over to you, Ivan.
Ivan Menezes: Thank you, Kathy. Our strategic priorities are clear and we are executing strongly to drive quality growth. We are moving at pace in a dynamic environment, investing smartly and doing business in the right way. I will cover each of these areas in more detail, starting with an update on how we are sustaining quality growth and investing smartly. As I mentioned earlier, the drivers of our strong performance are our insights, our tools and our ability to respond at pace. At the same time, we continue to invest for the long term. We are able to activate at speed and scale on the consumer insights that come from our data analytics and tools. COVID-19 has accelerated pre-existing trends in consumer behavior, and we've created brand activations that resonate with consumers in a changed landscape. As at-home occasions have grown, our brands have found creative ways to engage, inspire and entertain consumers virtually. When people couldn't visit their local pub for a pint of Guinness, we used beautiful assets to show the perfect serve for Guinness at home. This drove high engagement and excellent results. In Great Britain, Ireland and the U.S., Guinness has grown market share in the off-trade in the first half of fiscal '21. As consumers have looked to reward themselves and others, we have shown Baileys as an indulgent adult treat and reminded consumers that Johnnie Walker can be the perfect gift for any reason. Changes in how consumers are purchasing alcohol are creating new and fast-evolving opportunities. We have provided our on-trade partners with the tools to offer cocktails to go and created cocktail making kits for on-demand delivery. As e-commerce accelerated, we increased the visibility and ease of shop of our brands for online purchase. We know when times are challenging that our brands have a powerful opportunity to demonstrate our support for communities. During the recent IPL season in India, the Royal Challengers Bangalore cricket team wore tribute jerseys and used their reach of over 90 million social media followers, to honor frontline workers fighting the pandemic. Since the outbreak of COVID-19, our brands from Crown Royal to Don Julio have raised awareness and provided support for bartenders around the world. During COVID-19, we have seen a significant acceleration in consumer demand in the off-trade channel. We have rapidly pivoted to this opportunity, particularly in markets like the U.S., Great Britain and Australia, where the large off-trade channel has been extremely resilient. We moved at pace to adapt our plans and reallocate our marketing spend. We've delivered brilliant commercial execution and brand activation, both in-store and online. This has driven strong growth in the off-trade channel and share gains in a number of markets. We are using data to deliver relevant content in the right place at the right time. This data-led targeted marketing maximizes our effectiveness and returns. Baileys is a great example of how we're using this approach to win in the indulgent at-home occasion from baking to creative cocktails. We use data from search and social listening to identify and prioritize when to target treating occasions across the year. We track global holidays, seasonal triggers and weekly rhythms and combine this with the deep understanding of real-time emerging trends such as baking banana bread during lockdown. We buy media to target indulgent moments and adjust our content to match those moments. Baileys' online success was a key driver of the brand's double-digit growth in the first half of fiscal '21. We are delivering against our innovation strategy using purposeful innovation to recruit new consumers, unlock new occasions and drive sustainable growth. During COVID-19, consumers have sought the reassurance of well-known and trusted brands. We prioritized innovation against our global giants and executed at speed and scale. We've increased our focus on off-trade and e-commerce opportunities and adapted quickly to consumers looking for convenience, personal reward and celebration at home. Our limited editions to mark the 200th anniversary of Johnnie Walker have tapped into at-home celebrations and gifting occasions, especially during the festive period. In the U.S., Captain Morgan Sliced Apple was a top 10 innovation in Nielsen in the 6 months to December and has helped move the brand beyond cola. We also launched Captain Morgan Tiki in Europe to access the growing early evening occasion with a lower ABV variant. Our seasonal limited time offer Baileys Apple Pie taps into current treat trends of nostalgic classics and home baking. In the U.S., it was a top 5 innovation in Nielsen in the 6 months to December. We have accelerated innovation behind increased demand for bar-quality cocktails in convenient and portable formats. The growth of hard seltzers in the U.S. in the last few years has been phenomenal. We are participating in the category through our Smirnoff portfolio, which continues to grow strongly, and we've recently launched Smirnoff Seltzers in Europe. We have launched ready-to-drink cocktails across many of our brands, such as Crown Royal, Tanqueray and Ketel One. With the goal of bringing new drinkers into these trademarks, we have seen early signs of success. And we are looking forward to the upcoming launch of Guinness Nitro Cold Brew coffee in the U.S. Innovation is also enabling us to unlock new revenue streams. We are rapidly expanding our offerings in growth areas such as gifting, premiumization, convenience and no and low. Our brands are maximizing the opportunity for gifting during the festive season and also for celebrating more everyday occasions. We anticipated gifting would be even more important in 2020. We increased our participation and ensured our brands had great visibility in-store and online. Innovation is a key driver of premiumization using new launches to inspire consumers to trade up within our portfolio. We are using innovation to create unparalleled experiences of rare and exceptional whiskeys. Our new Prima & Ultima collection of unrepeatable bottlings of single malts targets high net worth consumers. The launch of Casamigos Mezcal at a luxury price point has built on the strong momentum of our Casamigos portfolio. Innovation is driving our response to consumers increasingly seeking convenience. We are rapidly expanding our portfolio of portable formats, including seltzers and ready-to-drink cans. We recently started the launch of Crown Royal cans in 2 U.S. states, and it was the #1 RTD brand in both states in the first 2 weeks. The launch of Guinness Smooth cans in Kenya, Nigeria and Uganda has driven incremental share gains for the brand in every market. You can see here that no and low occasions remain a key focus for our portfolio development and are broadening choices for consumers. Our recent launch of Gordon's 0.0% has had a positive initial response, and Baileys Deliciously Light with 40% less calories launches in early February. We expect our strong global innovation pipeline to continue recruiting new consumers into new occasions to drive sustainable growth. E-commerce remains a small channel for spirits relative to other consumer product categories, but it provides an exciting growth opportunity. Online sales of alcohol have rapidly accelerated across our markets during COVID-19. We are leveraging our strong foundation in e-commerce and benefiting from our leading market share positions with key customers. We are partnering with e-retailers and grocery stores as well as building our direct-to-consumer presence with platforms such as Malts.com. We have accelerated investment to strengthen our channel presence, expand our capabilities and grow quality market share. In the U.S., for example, we doubled our marketing investment in the first half of fiscal '21 compared to the prior year. Our actions are delivering results. In the U.S., 5 Diageo brands were in the top 10 liquor brands sold on Drizly in 2020, including 2 of the top 3. On Amazon Prime Day in Europe, our retail sales were up 98% in GB and up 90% in Germany compared to the prior year. On Tmall, the largest platform in Greater China, Diageo was the market leader in whisky in the last 6 months with a 25% market share, and Johnnie Walker was the number 1 whiskey brand. In the U.S., cocktail kits for home delivery via our partners have seen increasing consumer engagement and interest during COVID-19. We are growing our participation and testing and trialing new approaches so that we can maximize the availability of our brands. In India, an easing of certain regulations during COVID-19 has allowed for home delivery of alcohol. Our industry is working hard to establish this as a permanent opportunity. We have significantly up-weighted our marketing investment to increase the visibility, shopability and relevance of our brands. We're creating high-quality digital experiences so consumers can discover our brands with an easy path to purchase. This has included the creation of virtual stores such as Amazon brand store. These provide hubs for inspiration and education and drive conversion. We're also using digital tools like What's your Whisky to engage consumers online. We have expanded this from a brand discovery tool to a platform that enables consumers to buy the recommendations directly. Our partnership with SafeBoda in Uganda is a good example of how we're using online tools to reach consumers in new ways. SafeBoda is an app that enables consumers to access the full range of our portfolio and place orders for home delivery. I am pleased with the progress we're making in e-commerce. However, we still have much more to do to achieve our ambitions, and we will continue to build on this momentum. We take a disciplined approach to portfolio management. Since 2015, we made a number of disposals, including Bushmills Irish whiskey, Gleneagles, our main U.S. wine businesses and 19 brands that we sold to Sazerac. These actions enabled us to focus on our premium-plus brands and increase our presence in fast-growing categories including the acquisition of Don Julio and Casamigos in the super-premium tequila category. In fiscal '21, we acquired Aviation American Gin and we've agreed, subject to regulatory clearance, to acquire Chase Distillery, strengthening our portfolio with these fast-growing premium-plus brands. We will continue to supplement our organic portfolio development with strategic bolt-on acquisitions. We are investing to expand capacity and deliver our sustainability agenda and also to support brand building. This includes our ongoing investment of GBP 150 million in scotch whisky tourism. In October, we completed the transformation of Glenkinchie, the first of our Johnnie Walker 4-corner distillery experiences. We expect to open our Johnnie Walker brand home in Edinburgh later in 2021. Society 2030: Spirit of Progress, our 10-year action plan, sets out 25 ambitious goals that will deliver our commitment to: promote a positive role for alcohol; champion inclusion and diversity; preserve the natural resources on which our long-term success depends; and make a positive contribution to the communities in which we live, work, source and sell. We want to change the way the world drinks for the better by celebrating moderation, continuing to address alcohol-related harm and expanding our programs that tackle underage drinking, drink-driving and binge drinking. Our brands are made to be enjoyed responsibly. That's why by 2030, we commit to: reaching 1 billion people with messages of moderation through our brands; educating over 10 million people on the dangers of underage drinking through programs such as Smashed, our award-winning alcohol education program; and changing attitudes towards drink driving for 5 million drivers. In Kenya, we partnered with the National Transport and Safety Authority to educate and sensitize road users on responsible drinking. Our responsible drinking education module, DRINKiQ, is being embedded into the national driving school curriculum. This means that every driver licensed in Kenya will participate in a training module based on DRINKiQ. We believe the most inclusive and diverse culture makes for a better business and a better world. We've set an industry-leading ambition to increase representation of leaders from ethnically diverse backgrounds to 45% by 2030 as well as 50% of leaders being women. This year, we launched mandatory training to confront racial bias. This thought-provoking and interactive learning experience aims to enhance multicultural awareness and provide practical skills to eliminate racial prejudice in our day-to-day lives. We are championing inclusion and diversity across our business, but also with our partners and communities. As advertisers of some of the world's most loved brands, we will continue to use our creative and media spend to support progressive voices, celebrate diversity in our advertising and help shape a tolerant society. We are collaborating with the world's leading advertisers to create industry-wide change. On U.S. election night, we launched a Johnnie Walker ad featuring Brittany Howard performing a remake of You'll Never Walk Alone. It was shot by a female-owned production company. Through our Raising the Bar program, we have established a $20 million community fund to support businesses, consumers and partners in the hospitality industry in Black communities across the United States. We've committed to working towards a low-carbon future. By 2030, our goal is to have net zero carbon emissions across our direct operations. As the first step, our prestigious Scottish distilleries of Oban and Royal Lochnagar are both now carbon-neutral. The new Bulleit distillery we're building in Kentucky is expected to be one of the largest carbon-neutral distilleries in North America. By 2030, we will use 30% less water in every drink we make. And we will achieve a net positive water impact in our key water-stressed basins and communities. We've committed to delivering over 150 community water projects across the world. And we've renewed our 5-year partnership with Water Aid to help provide access to clean water, sanitation and hygiene. We want our business to be sustainable by design. In November, we launched Diageo Sustainable Solutions, a new global platform that invites innovators to share and develop their ideas in partnership with Diageo to enhance the sustainability of our supply chain and brands. Our initial areas of focus are energy, water, packaging and agriculture. We have received over 200 applications since the program opened. I am pleased and encouraged by the strength of our performance in the first half of fiscal '21. Sustained spirits momentum and premiumization provide a long-term runway for growth. Our people have responded with pace, agility and creativity to seize the opportunities presented by changing consumer behaviors. And while the operating environment remains challenging and we expect continued volatility in the second half of the year, we are driving broad-based top line growth and market share gains. Building on a strong ESG track record, our Society 2030 action plan sets out ambitious commitments on positive drinking, inclusion and diversity and sustainability, ensuring we will have a positive impact on our communities through the decade ahead. I am confident in our people, our strategy, the resilience of our business and our ability to deliver long-term shareholder value. Thank you very much.
End of Q&A: